Lars Rosenløv: Good morning. My name is Lars Rosenløv. I'm the new CEO of Quantafuel. I started in November 1st and I'm very pleased to welcome you all to this Third Quarter Presentation. A few practical issues before we start. There will be a Q&A session after the presentation and you're welcome to submit your questions using the link. And then please read carefully through the disclaimer on the next slide as we will not spend time on it here in the presentation. With me today, I have Chris Lach, our Chief Commercial Officer. I have Terje Eiken, our Chief Operating Officer. We also have Kristian Flaten, our Chief Financial Officer; and together we form the management team here in Quantafuel. Kristian will not be presenting today, but he will be around for the Q&A session. I'm probably new to most of you. So just a little bit about myself and why I'm here. See back in July, when I found out that Quantafuel was searching for a new CEO, I instantly knew I wanted this job. I have been following Quantafuel for the past few years because I expected that conversion of waste and waste plastic into refining and petrochemical feedstock would become the next important business development within the downstream business, where I used to work. As I see it, Quantafuel should be very proud. It is a company that has achieved a lot in a very short timeframe. The purpose of creating circular economy around plastic waste and turn plastic waste into valuable products is absolutely fantastic. And I'm really excited to use my experience on this agenda. I am a mechanical engineer of education. I have worked 30 years in the low margin part of the oil and gas business, the downstream. I have extensive experience from improving cash flow from operations while developing efficient and learning organizations. I have project development, execution, commissioning and startup experience and operation and maintenance experience from complex process plants like refineries. I have headed up the biggest industrial site here in Norway, the Mongstad Refinery, followed by heading up all of Equinor's processing plants in Scandinavia. I have worked in Canada, U.S., the Netherlands, UK, Norway and Denmark, and also spent four exciting years as a board member in the Federation of the Norwegian Industries. So I'm very excited to join Quantafuel now using my broad experience and be part of this transition to become an international industrial company creating value not only for Quantafuel, but for its shareholders. See the past few weeks, the eyes of the world have been under UN Climate Summit in Glasgow. Norway's Prime Minister, Jonas Gahr Støre came to Glasgow with firm commitments. One of them to work with business industry and social partners to help us all succeed in the transition towards a renewable, circular and sustainable future with the ambition and aim to develop and export new technology that can be used beyond Norway's borders. We welcome the Prime Minister and other fellow leaders' commitments, and we are proud to take part of this crucial transition. We all need to act and we need to act now. Quantafuel provide viable solutions converting waste plastic into valuable products, replacing new fossil fuel. This value chain is being developed as we speak and it is an important and great contribution to our society. With this extended introduction, I will now give you a few key highlights. The main takeaway from our third quarter is that we have continued to build the foundation for next year's operation. Safety performance is satisfactory. The preparation for proof-of-concept and Skive is ongoing and the turnaround is on track. The investment in Kristiansund is also on track. We are satisfied with our project pipeline development, following our plan. And finally, we are experiencing a strong interest in Quantafuel products and coming from refining I'm not surprised. Then a few financial highlights. We came out of the quarter with NOK379 million in cash. We have an SG&A monthly run rate of NOK10 million. We have high focus on lean and cost efficient day-to-day operations, and we are targeting positive cash flow from operations by year-end next year. So we have a good handle on our finances. And with these highlights, I will now hand over the presentation to Terje Eiken, our Chief Operating Officer, to provide more detailed plant update. Thank you.
Terje Eiken: Thank you, Lars, and good morning to all of you. Our priority number one is always to secure that everybody can walk home safely every day. And in Quantafuel, we had another quarter without recordable HSE incidents. In Skive, the modifications are progressing as planned. In addition to keeping the promised timeline, we also confirm the forecasted CapEx of NOK610 million. A few components are still to be delivered that we have no indication that they will delay the starter. We have never invested more in a total planning and follow up of modification work. And with a significant scope ongoing, it really pays back. During Q3, we had high focus on implementing improvements and running tests to prepare for full production capability after the Q4 turnaround. Consequently the production volumes were marginal still we can celebrate the shipment of the first container containing oil made from Norwegian household plastic waste provided by Grønt Punkt Norge for Green Dot Norway. And on the picture on the right hand side, you can see it a happy crew in Skive celebrating this shipment. I mentioned total planning of turnaround. And at peak we have 70 persons at site from modifications in parallel with planned maintenance and daily operations. All in all 30,000 man hours are executed during some hectic suite in Skive. We have in previous reports mentioned upgrading our subsystems. And the major task is related to the pumps, maintaining the safe and correct gas pressure in the system. We concluded that the original pumps did not have the capacity to cover all operational scenarios. And to mitigate, we have been using capacity from line one and four to then line two and three. Now, we decoupled these lines again, installed higher capacity pumps and by that we can run all lines, all four lines independently and in parallel. The other key modification work is the installation of the frequently discussed equipment that will remove the last known obstacle, preventing stable long-term production. The units for line one and two are now installed and they are currently being connected to the existing process piping, utility and control system. Our target is to start hot commissioning early December and around the year end we forecast to reach the necessary stability to take off proof-of-concept. This is important since it provides a key step towards full production capability. Since we plan to ramp up one line after the other, we will reach an average utilization of 60% for Skive next year. The plant that can process and mix and quality of plastic and turn it into valuable product is still to be invented. We design chemical recycling plants to convert post-consumer plastic waste into an oil quality that can replace new fossil oil in the production of new plastics. In main fractions in the feedstock are high and low density polyethylene and polypropylene, which had typical plastic types you find in the waste, you are sorting at all. Lately in Skive, we have mainly been running Danish post-consumer plastic waste from RenoNord and Norwegian from Green Dot Norway. And we can report that the quality of the products is in line with our off-take agreement. Nevertheless, we are looking forward to getting Aalborg sorting line into operation in Q2 to ensure a stable and robust feedstock with low level of unwanted substances, as well as low stable water content. Water contained in the plastics evaporating in the rafter creates a pressure challenge impacting the feed rate and that as an example of a less wanted plastic reaction is leading to high oxygen content that is causing undesired chemical reactions. In Kristiansund, moving and expanding, the mechanical line is on track both financially and time wise. Actually the first trial run with plastics happened yesterday. We will have a sorting capacity of 30,000 tons per year and a mechanical recycling capacity of 20 tons per year with the concluded divestments. And with such a capacity in place, it is promising to observe that the market prices for flakes and pellets are high and increasing. Testing of the chemical pilot is continuing. And our target is to have the necessary data to decide on the next steps for a permanent chemical line at the end of this year. The quality of the produced oil is promising that there are some other parts of the puzzle that also needs to fit together to. With that, I'm pleased to hand over to Chris who will take us through sustainability, R&D, and markets.
Chris Lach: Thank you, Terje, and good morning to all of you. So I will talk about further pieces of the puzzle. But I was thought with giving an overview over the complete picture before diving into some details. You probably have seen the cycle before, which shows the implementation of the circular economy for plastics in Europe with Quantafuel involved as the key step in implementing the circular economy. We take in plastic waste that is coming from both consumer and industrial users, post used plastics, which are then sorted and put into our plants, which turned them into both mechanically recycled and chemically recycled products. Both of which you see on the right hand side of the slide, the top picture showing the pellets from mechanical recycling sorted by color and the bottom showing two fractions of our chemical recycling pyrolysis oil. But these products are not all that we have to deliver. What we have to deliver to create loyal customers for products long term is more than just offering these materials. It is key that we have a credible end-to-end certification to show that we actually reduce landfill incineration. Our sites have certificates from industry leaders, ISCC Plus and REDcert2. Working with industry leaders in Europe, you have to have flawless performance with regard to HSC, which has safety and environment, which explains our strong focus on this area in addition to our personal commitment. And you have to work with the lowest possible carbon footprint. At Quantafuel, we continuously work with the life cycle assessment methodology to both analyze our current situation and work on future optimization. Last but not least, what you have to do is I want to talk about a question I was asked by intelligent analyst who asked whether all our work on purification does not put Quantafuel into a niche. I strongly disagree with that question even though it's a very good one. And I will explain why on the next slide. We have been talking about our toolbox several times already and to explain what we are doing in our R&D organization is not to develop the most perfect purification optimal to sell a very expensive plant, which would put us into a niche. As a chemist, I believe that anything can be done if you do not care about cost. But what was said Quantafuel a part is to be able to offer specific solutions to the specific contaminants or qualities that the specific off-taker for the specific plant is concerned about and getting that very specific solution, right, is what we refer to as our toolbox. This would put us apart in the future. To give an example of what the fourth bullet says is that in our joint project with BSF, we have to find a specification that will allow BSF to feed seriously large volumes into that crackers in the future. What we have learned this quarter is that Skive will not be able to reach that target specification without modifications to the setup. These potential modifications will be evaluated and depend on both technical feasibility and commercial attractiveness. It is probably important here to repeat that these learnings affect neither the off-take including pricing of our products from Skive by BSF, nor our scheduled for proof-of-concept, both of which are tied to the current specifications agreed between BSF and Quantafuel. And that's taken me then to the way forward, because key for all those invested in Quantafuel is that we actually turn the strong position, which I just described based on understanding of our customer's needs and the technology we have into an actual business. We are working with our partners across Europe to integrate into the existing recycling economy. Not height against the strongest existing players, but offer them alternatives to existing pathways. Downstream we mentioned this before we are experiencing let me say overwhelming interest for our products at the moment. And with that, I think I'm leading into the update of our project pipeline. Again, you have seen this slide before, and for most of the projects on here, I am happy to report that they are proceeding with the defined timelines. I'm also happy to comment on the one change on this slide, which is unhappy that we are able to pop Sunderland out of the other European projects box. When we run public by signing the heads of terms for the site and announced that we would enter the UK market with this investment. We are working intensely to keep these projects moving and add others to the list of locations that we talk about publicly. Sunderland, since it's the first time we talked about this special slide for that, excellent logistics, especially with regard to transport by ship, which comes with the lowest carbon footprint, but it's not very common in the UK. We are counting here on partners in Geminor to implement that is one of the key decision factors that drove us to Sunderland site. The other thing that is impressing us very much is the excellent support we are getting from the local authorities as well as by as the British government in form of the British embassy in Oslo and the relevant authorities in the UK. Of course, this is early in the process, but we just have to say so far, we have been wowed by the response. And then our furthest project at the moment as we update archeology and ground examination on a building site is finished and the infrastructure is being prepared. I think in fact, the road is completed. The tender process for main subcontracts facility works in the plastic sorting supplies is progressing. We have received a very good response from the market and remain confident on the project plan. Partner screening is ongoing and the project is proceeding with detailed discussions also in quarter four. With that, let me give you a quick summary. Key points are that the forecast of proof-of-concept around year end is maintained. Notable progress has been made on the project pipeline in preparation for rollout, especially with regard to the combination of mechanical and chemical recycling. We are experiencing strong global interest in our plants and products and speaking, not just for myself, but the full management team. We are now looking forward to your questions. Thank you very much.
A - Terje Eiken: Thank you, Chris. And thank you to all the participants or viewers, who are submitting questions. General comment first. We get quite a few questions about the stock market and the share pricing. And as always we can never answer these questions, so I will for your information only skip them in this presentation and leave it to yourself to think about that. I will send the first question to Kristian, also to introduce Kristian today. Welcome.
Kristian Flaten: Thank you.
Terje Eiken: This one is about the cash flow. And what are the key assumptions underlying your statement that you will have a positive cash flow from operation from year-end 2022?
Kristian Flaten: Yes, as Terje explained, Kristiansund plant has just started to produce from one of the new lines. We're continuing to invest in the Kristiansund line on the mechanical side because that market is very strong at the moment. So at the Kristiansund plant we'll turn cash positive from operations to late 2022. And the interest also as you spend when the Skive is ramping up the positive operational cash flow from Skive will turn to fine. And also by the end of the year, we will also have operational cash flow from the plants that recover all our SG&A and business development activities.
Terje Eiken: Thank you. There are some questions regarding the product quality from Skive, and I think this is probably related to some headlines in the newspapers today. So Chris, the question I wanted to ask you, on Skive, you're saying that the product you are delivering is not as per the specification from BASF. I think this needs a good clarification.
Chris Lach: I don't think I've said that. What I've said many times is that we are expecting an evolution in the expectations from our customers. At the moment, I have a site in Skive, which is 20,000 tons. If you put 20,000 tons, which is 16,000 tons of oil, into a 2 million ton cracker, you are not so sensitive about the specifications. So there is more leeway today than there will be in future because you have a dilution effect when you feed into a large stream of fossil feed. As we ramp up, as volumes are bigger, if you feed 300,000 tons of pyrolysis oil into a 2 million ton cracker, it is much more crucial that your specifications are where they need to be. That's why we have the joint development agreement with BASF, and that's what we're working on and that work will take time. It is development R&D work. It is a long-term cooperation, and we are working on this today. Today the Quantafuel production material in Skive is within the acceptance specifications for BASF, which are not future specifications when we talk about 500,000 tons, these are the specifications today when we talk about 20,000 tons. This depends on our purification, but also the quality of the plastics that we use. That's why we are trying many different plastic types today to find out how far we can go while still staying within these specifications. And the link between specification in the plastic waste and specification out the oil is then our process. That's where we're doing the development work in Malmö, that's where we talk about our toolbox and that's where we work also with BASF. I think in future and we're actually having these discussions today. When we talk about a plant that we build for a customer, the question is what is your specification for input for this volume? And then we talk about what is the quality of plastic waste we can put in to get there. And we talk about the effort needed to do the necessary purification to reach the target specification. We are keenly aware that purification is a factor of both in operational expenditure, cost of running the plant, as well as investment cost, cost of building the plant. So finding that optimum for each specific approach is what I tried to say in my slides key for going forward for building these projects and for keeping our customers happy and loyal. The one thing that I should then stress probably is being able to find the right solution for more demanding customers, which was definitely BASF or for less demanding customers requires that toolbox, requires the understanding and requires the technology to be able to produce the right quality. That's why I said before doing all this work, having this understanding does not put us in a niche. If you can build the Porsche, you can also build a van, but you need to know what does your customer want otherwise you are pushing yourself out of the market. I hope that that answers the question. I don't know whether it was understandable, but you are nodding.
Terje Eiken: I got you. To us working at Quantafuel, it's very understandable. I hope the same for the people listening in. Talking about this quality out of Skive today, there are quite a few customs regarding the payment from BASF and that we – if you want to reach the future targets litigation, we need to update the system. Yes. And of course we don't know what does that mean today? And we’ve also written in our report that would be based on both technical and economical assessment analysis, but can you say something about the payment for the products we are delivering today, Kristian?
Kristian Flaten: Yes, we have – the actual payment on the price per ton is confidential, but we have guided before and maintain that guiding that the current, the first short phase is somewhat below $1,000 atone and we have a long-term guiding from both mid-term and long-term of $1,000 a ton and we still stay very confirm into that.
Terje Eiken: Yes. And that is also answering the questions about regarding if the deliveries from Skive are on the fixed price or a floating price basis.
Kristian Flaten: Right.
Terje Eiken: Yes. That's good. We get also a few questions regarding our competitors and the answer is the same as with the share price. We do not discuss competitors, we discus Quantafuel. So those questions will also – only be stored for future reference.
Lars Rosenløv: But we can say a few things, right, because we are welcoming competitors in the market. This is a huge market. There's a huge potential and a room for a lot of companies like Quantafuel. I also think it's impossible – possible to stress that the more companies working with these agendas, creating a circular economy will help not only them, but us as an industry to get you can say a better voice in this society and get more people to understand what we are actually doing. And that this is a great and a great contribution to this climate agenda.
Terje Eiken: Okay. Thank you for that Lars. I think it's very important to underline that a growing market will benefit all of us. So and it's also important for the environment that we have success in this market. There are some questions regarding the product quality out of Skive compared with what we see in Kristiansund. Chris, is it possible to make any statement or comparison between the pilot reactor in Kristiansund and reactors we have in Skive?
Chris Lach: I can talk about it in a hope I'm not going to lose a big portion of our audience. But there are two kinds. One is contaminants, meaning using plastics that contain unwanted substances. I think there Skive is ahead because of the efforts we'll make on purification. And then you have the distribution of the oil itself, meaning is it light oil, heavy oil, what's the boiling point. And I think there we can say when we talk about oil quality on Kristiansund, maybe there the Kristiansund reactor is a bit more easy to control. That's what I would say. So the combination of it makes sense. And what we keep saying is that the Kristiansund reactor, the main driver for that is from a CO2 footprint perspective. This is an electrically driven reactor. It is not gas heated, which makes sense if we have a plentiful supply of renewable electricity and have an application for the gas fraction that we produce in the reactor. Anything to add to that?
Terje Eiken: I think so. Yes. Good elaboration. We have some questions Kristian regarding when we can expect to see the FID for the future plants and general comment on that one.
Kristian Flaten: No, of course, let's say the actual FID we will communicate when we make that FID. But we can say that also has been explained by Chris and Lars that for the Esbjerg plant, we have done extensive feed studies. We have acquired the plants, sorry, the plots, the property of Esbjerg. We have also received the necessary permits, so that FID could come sooner with regards to Amsterdam that will have to be done feed study first, so sometime in 2021, 2022 for the Amsterdam plants.
Terje Eiken: Thank you, Kristian. We have some questions regarding the currently ongoing turnaround in Skive and whether we have gone to all the parts incoming parts for the work. And as I stated, we are on track. We have still a few parts and it's less than unhand fold coming in. We had the review yesterday and none of these we have – for none of this, we have any indication that they will limit or progress towards the target to start the hot commissioning early December. So it's under control and there is no indication that they will delay us.
Lars Rosenløv: And just to add, we can say that when everything is installed in Skive, there will be two commissioning phases, right? There'll be a cold commissioning where we just testing that everything is connected correctly. And then we have a hot commissioning phase after that, where we try to use our systems and see that they are working accordingly.
Terje Eiken: Yes. And hot commissioning is done without plastic in the system, but it's with heat on the rafter. So we have everything is running as normal, except that we don't have plastics in the system. And after the hot commissioning done, we have the start-up. That close to then answer another question about what is the definition of hot commissioning. Then I have a one more for Chris, since we talked about the market how do you cope that raw material shortage in the market? There is more demand for plastic waste than supply.
Chris Lach: That is an interesting question, because it is not what we are experiencing. It may be at some point in time that this is the case. It may be that some competitors are experiencing that, but working with Remondis corrupt law, given what I think we mentioned Green Dot Norway and RenoNord we made this point that we are integrating into the upstream recycling economy, that we are working with a strong players, not against the strong players. And our experience is that for example, Remondis is corrupt. They are happy to give us plastics, which today are not used for anything but incineration. And maybe that's the answer to the question. We are really integrating and taking the feed streams that are not highly desired. If today you try to use a feedstock that is usable from mechanical recycling, you will face very high input costs and you will have trouble securing that, but that simply is not the case for Quantafuel. And that's why I think our integrational work with Geminor is something that is putting us apart in the market. And the question may be just as an indication for that, sorry, for first being confused by it. But I think when I think about it, maybe that's the background.
Lars Rosenløv: No, but I think it's a strategic advantage that Quantafuel has that we have integrated upstream in this value chain right now.
Chris Lach: We are reporting that the mechanically recycled materials from Kristiansund is giving us a significantly higher prices than planned. And maybe that's the effect we get from that question that we're actually benefiting from the strong demand for recycled products.
Lars Rosenløv: I think it's important to remember that when we take in a as a raw plastic waste stream is sorted. We take out what we can use for mechanical recycling. And the rest of section is actually used for chemical recycling.
Chris Lach: We or our partners do that.
Lars Rosenløv: We or a partner, yes.
Chris Lach: And that's what we mean by integrating into the existing upstream economy.
Terje Eiken: Somebody has been reading that it totally through the financial report and see observed that there is a gap between the revenue and the shipments. So they're asking, are we building inventory, comment to that is that in Skive, we have, I would say four holding tanks. We have a holding tank for pyrolysis oil prior to the distillation column. And after the distillation column, we have three holding tanks, one for the light fraction, one for the medium fraction, number one for heavy fraction. So that's why you might see that there's a gap between reported revenue and the number of shipments we have announced. Yes. There's also come some questions about when we can expect to see a ramp up in Kristiansund on chemical plant. As I said in the presentation, we are running the pilot now and hopefully our plant inside that we have the data necessary during this quarter to make the decision on the next step, which has done the permanent chemical installation. So we don't have a FID or a final decision to build that yet. There's a plan for it, but still we have to make an FID based on the data we see from the pilot testing. So since we talked about mechanical and chemical recycling, here is a follow-up questions, will you design mechanical recycling into all new factories?
Chris Lach: I think that, I assume from you looking at either of these questions.
Terje Eiken: I looking at, I think if you can answer, then I can read the…
Chris Lach: Mechanical recycling is a broad topic. A lot of things are called mechanical recycling. I think what we will see in several plants is sorting lines that divide the incoming plastic waste stream into non plastics, mechanical recycling, chemical recycling, and something that still has to go to incineration some leftovers. We will have the mechanical recycling in Norway and Kristiansund. And I think that is a spot for that. There's an opportunity to do more than we are doing today. If you look at other countries like Germany, where that is very strongly developed, I do not think we will go into that. We will combine our work, our investment with our partners who are already playing there. And it goes back to what I said before. We are integrating into the existing upstream recycling industry rather than go into a confrontation. And I can only repeat so far that it's working very well for us, at least as you can see that and me not understanding the previous question.
Terje Eiken: Thank you. A question about taxonomy. And I think Kristian that is spot on for you. Are you expecting to be taxonomy compliant?
Kristian Flaten: This is probably also for me, sustainability question. Simple question is yes. It – all these things take a while to get the final results, but we are very optimistic that we will get a very high score in the taxonomy in classification.
Terje Eiken: Yes. Some questions about the Aalborg sorting line about timeframe capacity. Capacity is designed to take in 20,000 tons per year. And operational is Q2 next year. That's short and precise. Also some questions about financing, because people see that we had the development work [indiscernible] I don't think we can talk about digital system.
Kristian Flaten: No, that's true where and we can also just highlight. Also those, we have always said that we are also looking for partners and we are working with partners when we are expanding. So and also we are also building kind of debt capacity in the company as we speak.
Terje Eiken: Yes. I think the presentation today was well communicated because the number of questions is not so high. So we have come to an end. [Indiscernible] you want to summarize?
Lars Rosenløv: Yes. I can do that. First of all, thank you for all the interest and all the good questions. So I hope we came across with a positive quarterly report. I think we have shown that we are continuing to build our foundation for next year's operation. We have a strong project pipeline and we are moving towards you can say a better financial results at the end of next year. So thank you all for listening in. Thanks to the team.
Chris Lach: Thank you.